Operator: Good morning and welcome to Aramark's First Quarter 2018 Earnings Results Conference Call. At this time, I would like to inform you that this conference is being recorded for rebroadcast and that all participants are in a listen-only mode. We will open the conference call for questions at the conclusion of the company's prepared remarks. In order to accommodate all participants in the question queue, please initially limit yourself to one question and one follow-up. I will now turn the call over to Kate Pearlman, Vice President of Investor Relations. Kate, please proceed.
Kate Pearlman - Aramark: Thank you and welcome to Aramark's conference call to review operating results for the first quarter of fiscal 2018. Here with me today are Eric Foss, our Chairman, President and Chief Executive Officer; and Steve Bramlage, our Executive Vice President and Chief Financial Officer. I would like to remind you that our notice regarding forward-looking statements is included in our press release this morning, which can be found on our website, www.aramark.com, and on our earnings slide deck. During this call, we will be making comments that are forward-looking including our expectations for fiscal 2018. Actual results may differ materially from those expressed or implied as a result of various risks, uncertainties, and important factors including those discussed in the Risk Factors, MD&A, and other sections of our Annual Report on Form 10-K and our other SEC filings. Additionally, we'll be discussing certain non-GAAP financial measures. A reconciliation of these items to U.S. GAAP can be found in this morning's press release, as well as on our website. With that, I will turn the call over to Eric.
Eric J. Foss - Aramark: Thanks, Kate, and good morning to everyone. I'm pleased to report that 2018 is off to a solid start as reflected in the strong quarterly results that we reported this morning. Adjusted earnings per share was $0.59 in the quarter, a 5% increase from last year on a constant currency basis. Total company organic sales were up 5%, with broad based growth across all three reporting segments. Adjusted operating income was $263 billion down 3% on a constant currency basis, primarily due to a decline in Uniform income. Turning to our performance by segment, the United States organic revenue grew 5% driven by broad based growth across business and industry, education, sports, leisure, corrections and facilities. United States adjusted operating income was down slightly to $189 million as base productivity improvements were more than offset by investments in growth associated with the onboarding of multiple new accounts, as well as technology and capability investments. Our International segment delivered strong organic revenue growth of 6% in the quarter driven by growth across Europe, as well as emerging markets. International adjusted operating income improved 6% on a constant currency basis largely driven by base productivity gains. As noted in this morning's release a majority of our Canadian operations were reclassified into the International segment. This reflects a shift in responsibilities on our leadership team. As I've asked Brent Franks, the Chief Operating Officer of our International business to oversee our Canadian operations as well. Brent has been delivering great results in International and I'm looking forward to seeing the results he will drive in Canada. Revenue improved 2% in Uniforms driven by solid net new growth. Adjusted operating income declined 12% to $46 million as we lapped prior year pricing actions associated with proactive contract extensions. With that I'd like to provide an update regarding how we're executing against our focused strategy. Our first imperative is accelerating growth and we were pleased to deliver broad-based top line growth in the quarter across sectors and geographies. The 5% top line growth was our strongest quarter in the last three years. Our growth was driven by strong new business performance, very strong base business growth and improving retention rates. We also continue to see strong leading indicators of future growth opportunities as we continue to drive improved overall consumer satisfaction. In fact, consumer satisfaction has improved across all four critical dimensions: quality, health, convenience and personalization. Innovation remains an integral component of our success as we continue to evolve our menu design to make sure we're offering quality, on-trend flavors, healthy options and a number of convenient options through our seasonal promotions, restaurant rotations, pop-up concepts to ensure we keep it fresh for the consumer and creative recipes developed with our celebrity chef partners. We also continue to evolve our thinking around consumer-facing technology as we strive to reduce the amount of time our customers spend in line. We're continuing to test kiosk ordering, which cuts down on wait times and easily facilitates individual order customization. We also remain committed to providing on-trend mobile solutions that not only deliver convenience, but also help our consumers meet their nutritional goals. And we're launching an automated checkout powered by artificial intelligence that greatly improves speed of service. And these technology solutions are designed with the consumer and client satisfaction in mind. Health and wellness remains a top priority for us and our consumers, and using the train the trainer approach, we're working to reach over a 1,000 of our chefs to help them create meals powered by plant-based ingredients. This initiative complements our Healthy for Life campaign with the American Heart Association as it promotes good eating habits. Turning to some recent highlights from operations, this past Sunday, we had the privilege of hosting the Super Bowl at the new U.S. Bank Stadium, which is the home of our Minnesota Vikings client. We also serve as the NFL's exclusive retail merchandise partner at over 100 locations throughout Minneapolis. Our Aramark Service Stars served over 1 million fans and guests during the weeklong festivities. And we join with the City of Philadelphia in congratulating our longstanding client, the Philadelphia Eagles, on their hard-fought victory. Looking forward, I remain encouraged by a growing pipeline of new opportunities across a number of key sectors. We remain confident that we will deliver at least 3% organic revenue growth this year, driven by strong net new business and consistent mid-90s client retention rates. Turning to our second strategic objective, activating productivity, we continue to drive base productivity improvement, primarily driven by reductions in labor as well as SG&A costs. These productivity improvements were offset in the quarter by startup costs associated with the onboarding of several new account wins. We also continue our investments in technologies and capabilities that tend to be heavier in the early parts of the year. Our in unit productivity initiatives are building momentum and we expect to complete the implementation of Ariba in the U.S. by the end of the calendar year. As a reminder, this is our source to pay system that enforces local purchasing compliance with our preferred suppliers, which continues to allow us to drive down our food spend. With regard to labor productivity, our shift to a centralized hiring model is beginning to reduce our reliance on agency and overtime labor. And our frontline managers are beginning to leverage Kronos for demand-driven scheduling, which will help us further optimize our labor spend. Finally, our above unit cost control efforts on SG&A are yielding improved operating leverage. Looking forward, we remain confident that our adjusted operating margins will expand in the back half of the year as the start-up compression abates, and that we will attain the three-year 100 basis point margin improvement target that we established at our 2015 Investor Day. Turning to our third strategic objective, attracting the best talent, I'm pleased to announce that we've once again been recognized as a Fortune's most admired company. We were also named by Black Enterprise a top 50 company for diversity, which is a real reflection of our commitment to foster a diverse and inclusive workplace. And the National Business Group on Health recognized our efforts to promote health and wellness with the Best Employers for Healthy Lifestyles award. Our fourth strategic objective is all around achieving portfolio optimization. And let me spend a couple minutes with you giving you an update on the integration of Avendra and AmeriPride. As you're aware, we closed the acquisition of Avendra on December 11, and we closed the acquisition of AmeriPride on January 19. We're thrilled to be welcoming these experienced and talented teams to Aramark. We had engaged in intensive planning, so we could hit the ground running on day one for each of these acquisitions, ready to begin in executing against our integration plans. We expect that these strategic transactions will enhance our competitive position across the portfolio of businesses and that they present compelling opportunities to create synergies and deliver sustainable value for our shareholders. Finally, the recent passage of tax reform legislation provides significant benefits for Aramark, our shareholders, and our employees. The majority of the cash tax savings will be used to accelerate deleveraging. Additionally, however, we are also planning to reinvest in our workforce. We're exploring opportunities to enhance employee education, training, as well as targeted wage increases. We are increasing our full-year outlook for 2018 by $0.05 to $0.10 as we now expect adjusted EPS in the range of $2.15 to $2.30. This outlook incorporates both the expected benefits of the tax reform, as well as the anticipated near-term dilution related to the transactions. Steve will provide a more detailed view of the full-year outlook in a few minutes. But it's important to note that we continue to expect the transactions to be accretive to free cash flow this year. I also want to personally thank our 270,000 team members across the world who work tirelessly every day to deliver a truly great customer experience. And once again offer a warm welcome to the new team members joining us from Avendra and AmeriPride. In closing, this is truly an exciting time at Aramark. Our base operations are growing, and we're leveraging our right to win to attract new clients. Our new enhanced menus and our obsession with client service, as well as leading edge technology solutions are driving improved consumer satisfaction. And the acquisitions of Avendra and AmeriPride represent a tremendous opportunity to further improve our customer service, expand opportunities for employee, and capture compelling synergies that will drive shareholder value. And our shareholders and employees alike will benefit from the recent U.S. tax reform. So we have solid business momentum and we look forward to our future success. With that, let me turn the call over to Steve for a more detailed look at our results.
Stephen P. Bramlage Jr. - Aramark: Thanks, Eric, and good morning, everyone. Let me begin with the Q1 sales reconciliation. Sales on a GAAP basis were $3.97 billion in the quarter. This represents an increase of 6% with currency tailwinds of $55 million or roughly 1%. This was due to the U.S. dollar broadly weakening against our basket of currencies. Organic sales for the company therefore grew by 5% in the quarter. Keep in mind that there was a modest revenue benefit in the quarter versus prior year due to favorable service days. Because we closed the Avendra acquisition very late in the quarter, there was no material impact from the acquisition. Adjusted operating income was $263 million in the first quarter which was a nearly 3% decline on a constant currency basis, AOI margins decreased 50 basis points on a constant currency basis to 6.65% largely due to margin compression from start-up costs related to strong revenue growth and the lapping of prior year pricing actions associated with proactive contract extension in Uniforms. As Eric mentioned, our commitment around achieving our 100 basis point margin improvement target from our investment day – Investor Day remains unchanged. On slide 6, adjusted EPS increased to $0.59 a share or 5% on a constant currency basis as the lower tax rate and lower adjusted interest expense more than offset a slight decline in AOI. Finally, there was no material impact from dilution in the quarter largely due to prior year share repurchases. As Eric mentioned, we're increasing our adjusted EPS outlook for the year by $0.05 to $0.10 to a range of $2.15 to $2.30. We are expecting approximately $0.20 or a sustainable 10% benefit from the lower tax rate, which will more than offset the expected short-term dilution of $0.10 to $0.15 related to the acquisitions this fiscal year. The transactions are expected to be dilutive to adjusted EPS due to the incremental interest expense of approximately $90 million, purchase price amortization of approximately $60 million, partly offset by the acquired EBITDA and modest cost synergy capture. As we're just beginning the process of integration, we're expecting to begin realizing the synergies in the second half of the year. These expectations are in line with our original assumptions that we had communicated in October albeit with a slightly delayed schedule based on the closing dates. Note that the purchase price amortization estimate is still subject to change based on the final accounting appraisals. On the tax reform side, we booked a one-time non-cash GAAP gain of $184 million in the first quarter due to the re-measurement of our deferred tax liabilities which results in a negative GAAP tax rate in the first quarter and for the full year. Also our AOI tax rate is expected to decrease to approximately 26% this year, which compares favorably to the 33% in our original full fiscal year 2018 outlook and the 31% we experienced in the prior year. In fiscal 2018, we will pay a blended rate as the first quarter's earnings are taxed at the higher legacy rates that were in effect in the fourth calendar quarter of 2017 because of the timing of our fiscal calendar. Also we did not incur any material one time transition tax, as we did not have any significant cash balances overseas due to prior year planning efforts. We anticipate that our effective tax rate will decrease modestly again in fiscal 2019, as we will enjoy a full year at the lower rates, and that will be slightly offset by a phase out of certain current deductions. Again please note that the estimated tax-related impacts are provisional and subject to change. However, we clearly expect to benefit by more than 10% prospectively versus our former adjusted EPS expectations due to the new corporate rate environment once the full benefit is phased into our results. Finally, let me turn to our business outlook for fiscal 2018. These assumptions have been updated to include the impact of the Avendra and the AmeriPride acquisitions. As Eric just mentioned and consistent with what we communicated last quarter, we continue to expect organic revenue growth to be at least 3% for the year. We are also expecting the company to generate adjusted EPS in the range of to $2.15 to $2.30 this year; this includes an expectation of $0.01 to $0.02 currency benefit in the year based on current FX rates. As we get more clarity on the purchase accounting appraisals and the pace of integration investments and synergy capture, we do intend to narrow the adjusted EPS outlook range. And let me be clear, and that we have no change in the expected results from the legacy business at this time for fiscal 2018. Interest expense is now expected to be approximately $350 million inclusive of the acquisition related long-term financing. And of note we've also extended our debt maturities once again and therefore we have no significant maturities for the next seven years. As we indicated when we announced the transactions we are committed to using the majority of our free cash flow to aggressively paying down debt. We expect our leverage to be below 4.5 turns by the end of this year. For now we're maintaining our free cash flow outlook of over $400 million for the year. We certainly expect that both the impact of tax reform and the acquisitions will be accretive to free cash flow in the year. As we gain better insights into the pace of integration the investments and the synergy capture, as well as continuing to refine our understanding of the tax reform specifics, we will provide a more specific outlook. We also continue to anticipate that our capital spending will be approximately 3.5% of sales as we continue to invest in growth and capabilities. Turning to our expectations for the first half of 2018. We expect that we will continue to generate strong revenue growth. However, please note that when considering the cadence of revenue growth in the first half we do expect about a one point headwind sequentially in the second quarter versus the first quarter due to calendar shift and service day timing. Also we continue to expect our margin expansion to be heavily weighted towards the second half of the year. Specifically with regard to our performance in the second quarter, we are expecting adjusted earnings per share to be flat to the prior year. Our margins and our profits will certainly be squeezed in the quarter as we bring on both of the deals and we invest resources aggressively to support integration. Realistically, it's going to be a little too early for any substantial synergy drop through to benefit us in the second quarter. I will now turn the call back over to Eric for some closing remarks in advance of Q&A.
Eric J. Foss - Aramark: Thanks, Steve. And I think operator, we're ready to open up the lines for any questions that there may be.
Operator: Thank you. We will now begin the question and answer session. We have a question from Anj Singh from Credit Suisse.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: Hi, good morning. Thanks for taking my questions.
Eric J. Foss - Aramark: Good morning.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: First one. Thank you. So, for the first one, I was wondering could you speak in a little bit more detail about the segments within the U.S. and which ones contributed to the nice organic growth this quarter? It seems you saw an improvement in new business, base business and retention, but is it possible for you to frame whether those were about equal contributors or if you had any disproportional benefit from one of those factors? Thanks.
Eric J. Foss - Aramark: Sure. It's Eric. So I think the headline for us, at least relative to the top line growth for the quarter, was three things, strong, balanced and broad-based. So let me break apart the balanced and broad-based dimensions. I think, the fact is is that we saw all sectors and consistent with both geography and line of business growth. So as I look at our U.S. business, we saw multiple lines of business contribute to that growth. Education had a strong quarter. We had a very strong quarter in leisure and corrections, sports, facilities, B&I, all contributing. And really if you even separate our healthcare business, the hospitality business grew, offset by some pressures in the healthcare technology business. So from a U.S. perspective, it was very, very broad-based and strong across the board. I think, relative to International, again very strong and broad based. And then as I look at the components of growth, we had very strong base business performance. That was both pricing to offset inflation, as well as volume growth on our base business. We saw strong new business results that contributed in the quarter, and a slight uptick in retention, is the way I would frame the three growth levers, all accretive, but the majority of that growth of 5% was driven by very strong base and very strong new.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: Okay. Got it. That's helpful. And one for Steve, could you speak to wage inflation in your business? I realize you have some shielding due to your cost plus contracts and the escalators you have in your P&L contracts, as well as the optimization initiatives you spoke about. But would the 3%-ish type of wage inflation and the increases you're considering post tax reform, do they pose risk to your AOI margins and any thoughts on how you can mitigate those pressures? Thanks.
Stephen P. Bramlage Jr. - Aramark: Sure, I'll start with that and ask Eric if he has anything to add. But we certainly don't anticipate, if I go backwards, we certainly don't anticipate any changes in the wage environment to have any substantial impact on our ability to deliver against our financial commitments. You are correct in that our contract structure inherently with the pass-through mechanisms in more than a third of the business, and another third of the business having clear renegotiation rights provides quite a bit of flexibility to us. I don't think that the wage environment we're experiencing now is significantly different from the one we've experienced really over the last year or so. We absolutely have wage inflation. We've had wage inflation. Certainly, that's different based on geographies in the country, but as the employment level generally has come down in the country, we certainly have felt that as anyone else has. But our contract structure, as well as the fact that given we have such a broad-based level of employment in the country, we have to pay competitive wages as it is to ensure 170,000 people are coming to Aramark every day to work here. And so, I don't think there is a big change in the environment. We're well-positioned to recover the inflation that we do have. And I still think on a global basis, a 3% type of year-over-year inflation number in our fiscal 2018 is still a pretty good number to be using.
Eric J. Foss - Aramark: The only thing I would add is, we are talking about very targeted wage actions. I want to emphasize the word targeted. And I would tell you if you look at the last couple of quarters including Q1, one of the big drivers of that base productivity improvement has been a really solid broad-based performance out of how we manage labor productivity. We're seeing increases in head count productivity metrics, standardizing that in-unit labor model that we talked to you about. I mentioned in my prepared comments about the importance of the demand-driven scheduling and allowing that to flex, flex our labor which allows us to reduce overtime and agency. So if you really look at what's happened from a productivity perspective on labor the last couple of quarters, it's been quite positive for us. So I think to Steve's point, we feel very comfortable with our ability to offset any wage increases.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC: Okay, got it. Thanks so much.
Operator: We have a question from Toni Kaplan from Morgan Stanley.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Hi. Good morning.
Eric J. Foss - Aramark: Morning, Toni.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Organic growth this quarter was the best since, I believe, 2Q 2015. Did the timing that you mentioned at the end of the call contribute to the 1Q growth, or is it just explaining the difference between 1Q and 2Q in terms of the number of days? And basically, I guess, just given the strength in 1Q, by keeping the 3% growth for the year, does that imply just a decel in the rest of the year, so why not raise the growth outlook? Thanks.
Stephen P. Bramlage Jr. - Aramark: I'll answer the first part of that and let Eric make some commentary. The 1% that I was referring to reflects the service day difference between the first quarter and the second quarter as you go out into the year. On a year-over-year basis in the first quarter, there was a very modest service day benefit to us. I would not characterize it is as significant however.
Eric J. Foss - Aramark: And I think relative to the full year outlook, again, the at least 3% was our guidance at the beginning of the year, it continues to be our guidance. I think as I look at the rest of the year, right now, what continues to look encouraging is the pipeline and new business opportunities. Obviously, Toni, we can never predict when those will actually come to market and/or make a decision whether that decision will go our way. So we'll continue to monitor how the new business performs the rest of the year. But certainly we felt great about the top line results in the quarter.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Okay, great. And then just one follow-up on the AmeriPride acquisition. I wanted to ask because sometimes in the uniform industry with these large acquisitions there might be a reduction in revenue at the target entity. So just wondering what your expectations are there if there would be some sort of a reduction from what AmeriPride was doing before, just based on disruption or normal attrition. So just wanted to find out your expectations around that? Thank you.
Eric J. Foss - Aramark: Sure. Well, it's still very, very early. So with that as the caveat what I would tell you is we're pretty pleased with the top line momentum we're seeing out of AmeriPride, both the way they finished the year as the deal discussions were ongoing prior to approval, as well as what's happened through January. So at this point in time we certainly don't see any slower growth coming out of them than what we see across the broad Uniform business. I think, Bill and the team have done a very good job keeping their head down and working through not only the future of what those synergy and integration plans will look like, but importantly keeping their head focused on the marketplace, focused on customers and making sure our service model is intact. So, I think, everything we've seen so far is positive.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: We have a question from Hamzah Mazari from Macquarie.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Good morning. Thank you. The first question is just on – if you're beginning to see any indirect impact of tax reform, as you talk to your customer base or you look at competitors, do you expect pricing to get tougher, do you expect outsourcing to pick up or not, is the tax break for stadium constructions sort of being revealed impact you, just any broad thoughts on the indirect impact of tax reform to your business?
Eric J. Foss - Aramark: Well, again, I think, I would say it's still a little too early. We continue to watch and monitor it closely. Again, I'll deal with it through the lens of our competitors. Because in our two large competitors in the food and facility space have a large percentage of their business outside the U.S., they will benefit probably less than companies that have more of a U.S. tax base. I think on the uniform side that will be reversed, because you will see pretty significant impact. But I think for the most part, certainly relative to who is going to benefit here, I think this is a real positive for our company and for lots of companies. I think a variety of constituents, consumers to customers to employees to shareholders will benefit. But I think, it's something we have to continue to monitor, if there is any hint of your question that that is trying to get into – do – would you expect it to lead to any irrational competitive behavior? My answer to that would be certainly not at this point, and I wouldn't expect that.
Stephen P. Bramlage Jr. - Aramark: Yeah. I would maybe add to that, I mean at least based on the information that I've seen from people in our industry, I would describe what's happened as more of a leveling of the playing field, if I just kind of rank where most people are tending to think they're going to land from an effective tax rate point of view, they are very, very similar levels, and that has not been the case in the past. I think, we've been competing with a little bit of a hindrance around the higher rate, and so I think, we'll be about the same spot that everyone else is and some of them have already been at for a period of time.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Great. Just a follow-up question, I'll turn it over. I know you guided free cash flow already greater than $400 million. But specifically we're just wondering if the mix of your contracts is a headwind or tailwind to your free cash flow margin. Historically a couple years ago, it was a headwind. Clearly, you have start-up costs associated with some of these contracts. So, just curious how do you think about the mix of contracts and impact to free cash flow looking out?
Stephen P. Bramlage Jr. - Aramark: I think, within the legacy business right, not addressing the two transactions, I don't think there's any – been any significant change in the mix of business versus a couple years ago. I mean, our business mix impact is going to be directly felt in working capital, and in terms of how much money we need to put in or we receive as we onboard new business, our overall mix of business I think is largely the same as it's been the last couple years. And so the real opportunity for us on free cash flow will be what's the bottom line impact to tax reform as we work through that and then how are we spending or investing in the integration of the deals versus taking the synergies out. And that's what we'll be working on over the next quarter to try to net that out.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Great. Thank you.
Operator: Our next question comes from Andrew Steinerman from JPMorgan.
Andrew Charles Steinerman - JPMorgan Securities LLC: Hi, Eric. Since Aramark achieved a strong base growth here in the first quarter, do you think that base growth for fiscal year 2018 year-over-year might be better than it was in fiscal 2017 year-over-year?
Eric J. Foss - Aramark: Hi, Andrew. Well, I would say a couple of things. I've talked a couple – on a couple of occasions around two things that we look to in terms of leading indicators, if you will, or for opportunities. And I mentioned one of them earlier is as we look at the consumer satisfaction scores that has continued to be very encouraging for us. In the quarter again, we saw improvement broadly across overall satisfaction, quality, health, convenience, personalization; all of those rising double digits in terms of percentage increase. So, I think what that says to me is, is that we've identified what matters most to the consumer. We've put some money and some initiatives in place around how we brand and how we think about our product offering. And those indicators are not only paying off relative to some of these leading indicators, but are also paying off when you look at how base business performed in the quarter. So, again, I would say as we look at our full year revenue growth right now, our forecasted composition of that would be about half of that would come from base business performance and about half of that would come from new business and from where I sit right now I wouldn't see the composition of that changing much.
Andrew Charles Steinerman - JPMorgan Securities LLC: Thank you.
Operator: We have a question from Kevin McVeigh from Deutsche Bank.
Kevin McVeigh - Deutsche Bank Securities, Inc.: Great. Thank you. I wonder – could you please – thoughts on potentially when we could think about updated financial targets on a longer term basis, you've obviously had a lot of success in achieving your most recent round, how should we think about potential revisions to those targets going forward?
Eric J. Foss - Aramark: Well, Kevin, it's Eric.
Kevin McVeigh - Deutsche Bank Securities, Inc.: Hey Eric.
Eric J. Foss - Aramark: I think the way we framed it at our Investor Day in 2015 is that we were very much focused on the financial targets that we laid out, and that those would take us largely through 2018. Obviously with these two strategic deals we announced, our sense is as we come out of our fiscal 2018 we'd come back to you with updated not only where we want to go from a guidance standpoint, but just talk to you about how the business model has changed. So, more than likely that will take place late this fiscal year.
Kevin McVeigh - Deutsche Bank Securities, Inc.: Got it. And then just it sounds like you're still working through, but is there any way to think about what the cash flow impact is even if it's in a wider range from the corporate tax reform, it sounds like it's more going to de-leveraging which is great, but just a dollar amount, could you bracket a range of that for us?
Stephen P. Bramlage Jr. - Aramark: Well, I think, the two things I would have you think about on a prospective basis is once we get through the phase-in period, right, there the tax rate change should be largely a one-to-one relationship with a cash tax change as well. There's no reason that you shouldn't have that expectation, and so I think, we'll – again once we get through the phasing in aspect to that that's a – probably a good modeling assumption generally to have. And then I would just remind you that we've been very clear from a transaction point of view, we expect the deals to be accretive in the first year from a free cash flow standpoint and that will obviously ramp up quite a bit going forward. So I'm quite optimistic when I look out beyond fiscal 2018 around the tailwinds that we have on just our inherent cash flow generation ability above and beyond the levels that we've been talking about previously.
Kevin McVeigh - Deutsche Bank Securities, Inc.: Super. Thank you.
Operator: Our next question comes from Stephen Grambling from Goldman Sachs.
Stephen Grambling - Goldman Sachs & Co. LLC: Hey, good morning.
Eric J. Foss - Aramark: Good morning.
Stephen Grambling - Goldman Sachs & Co. LLC: Good morning.
Stephen Grambling - Goldman Sachs & Co. LLC: Could you just talk to the balancing act of margins in top line, perhaps specifically outlining how much of your margin compression this quarter came from onboarding, reinvestment, and base margins? And then on a related follow-up, how should we be thinking through some of your distribution partners' comments that costs are moving higher and they may need to seek to pass them on to customers such as yourself?
Eric J. Foss - Aramark: Sure. Well, let me make a couple of statements, Stephen. I think, first of all, relative to the last. I think for the most part, Stephen, I feel like we've got a pretty clear eyed view of what the inflationary environment is going to look like for us whether that be on labor or food. And I think, Steve referenced earlier something around the 3%-ish range is probably order of magnitude a pretty tight focused area, where we think this will land. So I don't – I wouldn't expect any increased distribution costs, if that was the core of your specific question for us. Again just a reminder broadly, remember all of our negotiating is handled by us directly with suppliers, so it's a little different than maybe some of these companies that provide different services for up and down the street clients or what have you, but relative to your first question though on the margin and the balance, I think, if you look at the quarter, we really saw base productivity perform very strongly. So, if you think about we saw an improvement in how we managed both labor, as well as SG&A savings. That was offset by a heavy investment in start-up costs, that's going to happen when you drive the amount of new business and a lot of that was education related which meant heavy start-up costs in the quarter. In addition to the start-up costs, Steve mentioned the pricing drag as we lap those pricing actions from Uniforms, that was also a major contributor. And then to a lesser extent, the fact that, as you know, our investments around capability over the last several years have tended to skew heavier to first quarter and second quarter in the early part of the year. So I mean that's the reality of how the math worked this year. Our expectation as we go forward is we'd continue to see strong base productivity improvement. I think as the year unfolds, you'll see sequential improvement in the margin structure year-over-year. And so in terms of our confidence in this 100 basis point target, I'd say it's really three things: one, the fact that we are seeing real strong base productivity improvement; second, as we get into the second half, we're going to have that Uniform pricing drag not be an issue; and then finally, if you'll remember, some of the Q4 one-offs a year ago from a weather perspective also will provide opportunities later in the year. So, is that helpful? Does that answer your question?
Stephen Grambling - Goldman Sachs & Co. LLC: Yeah. That's helpful. One quick follow-up, the remote services business had been in pressure for a couple of years, we're starting to hear some signs of resurgence in corporate activity in that space. Are you seeing any signs of bottoming out or even acceleration among those contracts? Thanks.
Eric J. Foss - Aramark: Well, I believe we bottomed out a while ago, certainly, several quarters ago. So that business has been relatively stable the last several quarters for us. And whether that's specifically remote services in Canada or some of the offshore activity, we have in the Gulf or the North Sea. Clearly, if there is a sustained elevation in oil prices, that should bode well for that business on a medium term basis. There's no doubt, as you know, there's quite a long lag time between the change in the spot price of oil and what actually happens on the ground. So if we maintain where we are or continue to get an uptick there, eventually that should bode well for the investment in that part of our business. I'd remind you, it's a relatively small piece of our business, just a couple of percent. So I don't anticipate it having a material impact one way or the other relative to our current expectations for fiscal 2018.
Stephen Grambling - Goldman Sachs & Co. LLC: Fair enough. Thanks so much.
Operator: Our next question comes from Andy Wittmann from R. W. Baird.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Hey, great, just wanted to start out with a couple of quick easy ones. I guess maybe for Steve, I guess, the structural tax rate underlying as you look ahead into I guess fiscal 2019, what is that number? You said lower, I was just hoping you could give us a band on that one. And just also curious as to the re-class of Canada into International, how much of a benefit or detraction was that or impact was that to the reported organic growth rate to North America?
Stephen P. Bramlage Jr. - Aramark: On the structural tax rate, we'll certainly get, I guess, we've said around 26% or so this year, just because of the math. It's certainly another 100 basis points less than that, I'd like to think we can do a touch even better than that, but somewhere in that mid-20s range, 24% to 26% is probably a pretty good sustainable range for us, depending on the mix of earnings generally. And the Canadian business, our Canadian business is less than a $0.5 billion on an annual basis. And so, obviously, your piece in the quarter is not very significant. I don't believe there is any significant change in what we're reporting as the underlying growth rate versus the way we re-classed our new presentation of the U.S. versus International versus the old North America and International. I think we'd be having the exact same conversation.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Okay. And then just I guess the only other question is relative to the margins that you guys discussed previously and that was helpful, just wondering that you're in the early days of owning the acquisitions here, if there are any tangible costs that would not have been excluded in, in terms of the deals costs that are weighing on margins that maybe hurt this quarter, but will abate quickly, not just normal integration costs, but maybe those one-time items that are associated with the early days of the acquisition?
Stephen P. Bramlage Jr. - Aramark: I don't think there's any significant change from what we anticipated. I mean, obviously, we're starting a little bit later in the year fiscally than when we had first talked about the transactions. So we've lost three months or so on each one of those. So I think the practical reality is we'll incur close to the same amount of integration-related investment, whether that's internal resources that we throw against them or, obviously, we'll have some external folks help us with things like system integration and some of the planning work. And it probably pushes out what would have been the tail end of the first 12 months of synergy capture out of this fiscal year into the next one versus an October 1 assumed start date. So that's the kind of stuff we need to work through here over the next quarter. But there's certainly no surprise of any substance, from where I sit, relative to where we are or what we've seen thus far in the planning and the integration efforts in either one of the transactions.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Okay. Thank you very much.
Operator: Our next question comes from Manav Patnaik from Barclays.
Manav Patnaik - Barclays Capital, Inc.: Thank you and good morning. My first question is just around in the prior quarters I guess our expectations weren't necessarily aligned with yours. In the context of your 5% growth and maybe even just a comment if you can on the Uniform margin decline. I guess, were those as expected from where you guys are sitting or did anything come in above or below your expectations?
Eric J. Foss - Aramark: Well, it's Eric. First of all, relative to the Uniform margins, no, they came in absolutely as expected. I think, we've signaled that for the last several quarters. So certainly no surprise, and as I mentioned earlier, we'll begin to lap that as we get into the second half of the year, so certainly no surprises on that front. I think relative to growth, I mean, we knew as we had talked to you late last year, we were having a very successful new business year. We talked about some of the numbers and how we entered 2018 in a very different spot than how we entered 2017. So we felt like we were going to get off to a good start. I think, if there was a mild surprise, it probably would have been the performance of our base business that was a little bit stronger than, I think – certainly than we had planned, and so if there was any mild difference it would have been on the strong performance we saw on the base business performance.
Manav Patnaik - Barclays Capital, Inc.: Got it. And then Steve, I understand that it sounds like there's some moving pieces to the free cash flow guidance, but from what you've said so far, am I right in interpreting that maybe the free cash flow, it will be accretive in 2018, but maybe just by a little bit, but it's really the 2019 number where you'll be able to guide the real accretion there, or am I just missing something I guess, if you gave guidance on EPS like what's the missing pieces that prevented you from giving an updated free cash flow number?
Stephen P. Bramlage Jr. - Aramark: Well, if you recall a lot of the investments that we will make around the integration efforts and the two transactions are not included in our adjusted earnings number, but there'll obviously be some cash flow implications associated with that. And so, we need to phase those in appropriately. I certainly think we will have greater cash flow accretion in 2019 on a full year basis, obviously, because the synergy capture has to be better and we're going to continue to be walking into a better tax situation as a general rule. So, 2019, we'll continue to get better. 2018, there are some cash items outside of adjusted EPS that are what we're going to need to work through.
Manav Patnaik - Barclays Capital, Inc.: All right. Thanks, guys.
Stephen P. Bramlage Jr. - Aramark: Thank you.
Operator: We have a question from Gary Bisbee from RBC Capital Markets.
Gary Bisbee - RBC Capital Markets LLC: Hey, guys.
Eric J. Foss - Aramark: Hi.
Stephen P. Bramlage Jr. - Aramark: Hey, Gary.
Gary Bisbee - RBC Capital Markets LLC: I think this is the first quarter in a long time, I haven't had the opportunity to give you a hard time about revenues. So, I guess I should say something nice about it, but it's great to see what you delivered this quarter.
Stephen P. Bramlage Jr. - Aramark: Thank you.
Gary Bisbee - RBC Capital Markets LLC: Let me ask you a question on the adjusted EBITDA for the acquisition. So at the time you announced them, you talked about $150 million. That was a LTM number were four months later or so, and it's now we're looking at an NTM number, and I think your deck sort of said same thing. Especially the Avendra piece, I would think it's growing nicely based on some of the prior commentaries. Any thoughts on how we should think about that. Obviously, we have to adjust it for not the full year, but how to think about trending that?
Stephen P. Bramlage Jr. - Aramark: Yeah, listen I think for sure, you got to make the adjustment for the stub period. You're correct in that regard. I think we're pleased with what we've seen around the EBITDA forecasts for both of these businesses now that we have them. So, we certainly are expecting as a general rule year-over-year EBITDA improvement to continue. There's no doubt about that. I don't think, it's significant enough post the stub period adjustment for us to comment yet at this point in terms of what will drop through, but so far, they're both performing. Again AmeriPride has been here for about three weeks, so take that with a little grain of salt, but they're both performing very, very consistently with our expectations at the time that we got together.
Gary Bisbee - RBC Capital Markets LLC: And just a technical question on that. When we think about depreciation, you've talked about amortization. Is it a reasonable assumption that for Avendra, I guess, using your U.S. and the Uniforms – using your Uniforms' level of depreciation of sales is – would be a good guideline in terms of building that into our numbers?
Stephen P. Bramlage Jr. - Aramark: Well. As it relates to Avendra, there's not a lot of depreciation per se if you think of the nature of that business. We will have purchase price amortization.
Gary Bisbee - RBC Capital Markets LLC: Right.
Stephen P. Bramlage Jr. - Aramark: But there's really de minimis depreciation against the Avendra asset base just based on the type of business that they run. So that would be a lower rate than kind of the mothership depreciation.
Gary Bisbee - RBC Capital Markets LLC: Okay.
Stephen P. Bramlage Jr. - Aramark: AmeriPride will not be radically different from what we experience in our Uniform business.
Gary Bisbee - RBC Capital Markets LLC: And then just a follow-up from me, you said earlier you didn't expect any irrational pricing. I think, there's a view a lot of people have that in many low margin businesses one of the reasons for that is they're competitive and there is some risk particularly when you compete with private companies that have seen a windfall benefit to their after tax cash flow which many use in managing the business. What – can you give us just some color on how many times you're competing with, either to keep or new business, some of the regional privately held companies, and if you – why you don't expect to see contract aggressiveness from a pricing perspective pick up on the back of tax reform? Thank you.
Eric J. Foss - Aramark: Sure, Gary. Well, I think if you think about the vast majority of the new business opportunity out there, certainly well north of 50% I would characterize as tends to come down to the larger players in the industry, and therefore I think, I stand by my comments that at least to-date we have not seen any different behavior than what we saw before the tax reform changes. And again I think that just based on what we're anticipating certainly and what we're planning to do, I don't think you'll see a lot of this show up in terms of price pressure. So, I think these deals will tend to get competed, at the end of the day for the most part, with our large global competitors. And so, again, I don't – time will tell, but I don't anticipate any.
Gary Bisbee - RBC Capital Markets LLC: Great. Thank you.
Operator: Our last question comes from Shlomo Rosenbaum from Stifel, Nicolaus.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc.: Hi. Good morning. Thank you for taking my questions. Hey, Steve, free cash flow was significantly negative from much high – big step up in AR, DSO and just – overall AR just like it was actually what went up the most. Could you talk about what caused that and are we expecting a big reversal coming and just a little bit around what's going on there?
Stephen P. Bramlage Jr. - Aramark: Sure. And I'd remind you that seasonally our weakest cash flow quarter is always going to be the first quarter and that's directly related to just the seasonality of a couple of our large businesses, both sports and higher education were significantly positive in the fourth quarter with the start of school and the wind down of the baseball season generally, and then that flips in the first quarter. So I would always expect it to be positive – negative in the first quarter as a general rule. From a receivable standpoint, our overall consumption of cash was greater on the receivable side, because we had much higher year-over-year sales growth, right, if you compare the revenue number in the first quarter of this year with the revenue number last year, there's significant amount of receivables associated with that, so that also buttressed it up. And then the third piece which is a little more difficult to see relates to the on-boarding via vendor transactions. So as we brought a vendor on to the balance sheet very, very late in December, we brought on a significant amount of working capital. And then, the timing of their cycle as there were some significant payments – rebate payments made to their clients on a full year over the last couple weeks of the year, which exacerbated the way our working capital looks like. So, I think, it's seasonal. It's very consistent with the overall revenue performance we've had combined with the fact that we brought on a pretty significant addition to the balance sheet.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc.: Got it. And then, could you just comment a little bit about the competitive environment in the Uniforms business, has there been any change recently just in terms of more integration, Cintas has owned G&K for a longer period of time or just anything out there in the market, are you noticing any differences?
Eric J. Foss - Aramark: Well, I'll point back to last year, and I think last year what we saw was – as there was the first phase of consolidation in the industry, you did see a lot of pricing in the marketplace, which is what we've talked about over the last couple of quarters and again this quarter. I think, as we look at this, and as we look at the current environment and project forward, I would not anticipate the marketplace being as disruptive as it was at this time a year ago. I think, it's very rational right now and I would expect it to remain rational.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
Operator: We have no further questions at this time. I would like to turn the call back to Mr. Eric Foss for final remarks.
Eric J. Foss - Aramark: Great. Thank you very much. First of all, thanks to everybody for joining us today. We appreciate your time and your ongoing interest in Aramark. Everybody have a great day. Thanks.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. We thank you for participating. You may now disconnect.